Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Scripps Third Quarter Earnings Call. For the conference, all participant lines are in a listen-only mode. There will be an opportunity for your questions. Instructions will be given at that time. [Operator Instructions] As a reminder, today's call is being recorded. With that being said, I will turn the conference over to, Ms. Carolyn Micheli, Vice President, Corporate Communications and Investor Relations. Please go ahead.
Carolyn Micheli: Thanks, John. Good morning, everyone, and thank you for joining us for a recap of The E.W. Scripps Company’s Third Quarter Results. A reminder that this conference call and webcast includes forward-looking statements and actual results may differ. Factors that may cause them to differ are outlined in our SEC filings. You can visit scripps.com for more information, such as today's release and financial tables. You also can sign up to receive e-mails anytime we disclose financial information and you can listen to an audio replay of this call. A link to the replay will be up there this afternoon and will be available for a week. We will hear first this morning from Scripps’ CEO, Rich Boehne, then CFO Tim Wesolowski, will recap our third quarter results for television, radio and digital as the news Scripps. Then you will hear from our Senior Vice President of Broadcast, Brian Lawlor, and from Adam Symson, the Head of our Digital Division. Also, in the room are radio chief Steve Wexler and Controller and Treasurer, Doug Lyons. Rich?
Rich Boehne: Thanks Carolyn. Good morning. Thanks for joining us for this recap of the quarter and we will also take a look ahead as we get ready for the big opportunities approach in 2016. As we talked about in the release, both the company as a whole and the television division delivered third-quarter results in line with what we expected and it looks like a little better than the sales-side estimate out there as well. The TV group more than doubled its retransmission revenue and the integration of the former journal stations is right on track, both operationally and in realizing the synergies we identified when we designed the merger. For example, work soon for some of the scripts produced in own programming to the air and former journal markets. In those journal markets as an all- Scripps markets a focus on local news ratings is essential to capitalizing on the approaching surge vertical advertising. The good people of America will choose the candidates. It is our job to offer them the biggest and best qualified audience of eyeballs in many of the most critical swing states and local markets. Just a reminder, the political revenue wave next year will be coupled with another sizable jump in retransmission revenue projected to be up 50% over 2015. Both political dollars and retransmission dollars are high-margin going efficiently to the bottom-line. In both cases, we are laying the groundwork now for the best possible performance in 2016. In the third quarter, we also made two important moves among the businesses in our digital segment and both moves take advantage of the fast-evolving over the top marketplace where new brands are building value. To take advantage of growth in the audio, among audio over-the-top audiences, we purchased podcast industry leader Midroll Media, a strong brand and a growing business with an experienced management team and an awful lot of momentum. Adam will talk about that in a few minutes. The other move we made was an opportunistic pivot in the strategy and business model for video over-the-top network Newsy. We took an already popular Millennial News brand and repositioned it for the growing over-the-top television audience. That now includes adding a live stream of the latest news, videos in addition to the on-demand segment that Newsy already offers. In recent weeks alone, we have announced a series of OTT Carriage Deals for Newsy with Comcast Watchable, PlutoTV, Xumo and just last week, Apple TV and there is more to come, but as you saw the investment required to capitalize on the OTT opportunity combined with slower growth in Newsy's other revenue streams from web and mobile products and production from third-parties, reduced the near-term cash flow and triggered in impairment of goodwill and a non-cash charge. This however is a really important pivot. Newsy's clear traction with OTT audiences and providers led us to an acceleration of the business in that direction. Again, Adam will talk more about the business in a few minutes. Also, in the third quarter, we conducted a lump sum pension payout designed to reduce the size of our plan or putting some money in the beneficiaries' pockets and we used our strong balance sheet to make the Midroll acquisition as well as to invest in ourselves by buying back shares. Now, here is Tim with more on the quarterly results.
Tim Wesolowski: Good morning. Thanks for joining us today as we reported a second full quarter of operating the former Journal TV and radio stations. As Rich said, our third-quarter operating results were very much in line with our guidance and we are off to a good start assimilating in the Journal properties. In the third quarter, excluding acquisition and integration costs for the Journal transaction and our non-cash charge, we are in $0.02 per share. Our net loss from continuing operations was $24 million or $0.29 per share on a GAAP basis. Cost related to the Journal transaction accounted for about $4 million or $0.03 of the loss. The impairment charge in the digital business was $25 million or $0.28 per share. As I talk about our third-quarter results I will be comparing them to our 2014 adjusted combined numbers to help you better understand the underlying trends in our business. The adjusted combined numbers give a picture of our last two years as though we had merged in the Journal and Granite broadcast assets at the beginning of 2013. The 2014 quarterly adjusted combined results are in today's earnings release tables. Our assumptions and disclosures are also included in the supplemental information that begins on Page E-7 today's press release tables. I encourage you to read those carefully. Today, we will use those to compare third-quarter results on an apples-to-apples basis. Meanwhile, you can find the as reported results in today's press release. Of course, most of the year-over-year changes in the as reported results are driven by the addition of the Journal and Granite properties as well as a loss of political advertising from the third quarter of 2014. After I discuss those results, I will spend us with a few minutes on our cash position, debt status and the share buyback program. Finally, I will share fourth quarter guidance. The first, let us start with third-quarter operating results in comparison to the adjusted combined results for the third quarter last year. Operating revenues decreased 1% to $190 million. We saw 50% increases in both retransmission revenue and digital revenue. Those increases were offset by the $17 million decline in political advertising from the 2014 election year. Costs and expenses for segments shared services and corporate were $167 million, up 7% over the 2014 quarter. That increase is mostly due to higher programming fees. Now, turning to our three reporting segments television revenues were down 3% in the third quarter of 2015 over the adjusted combined results to $157 million. Political revenue generated $4 million in the quarter compared to $21 million last year. Retransmission revenue was up more than 50% to $36 million. That increase reflects the renewal last year of retransmission agreements that covered about a quarter of our subscribers. Local advertising revenue was flat and national revenue was down about 2.5%. Expenses for the television division increased about 9%, driven by an increase in programming fees. That includes our ABC affiliation agreements, covering 10 of our stations and a CBS agreement for Nashville station. Those agreements were renewed within the last year. Television segment profit was $32 million, down about a third, due to the loss of election-year political advertising and also our transition year in which we are paying higher fees to the networks, but still waiting for the reset of 3 million of our cable subs to market rates on January 1. Just a reminder, we anticipate a 50% increase in both, gross and net retransmission revenue in 2016, because of those contracts and a few other renewals. Radio operating revenues of $20 million were down $400,000 from the third quarter of 2014. Radio expenses were flat at $16 million. Segment profit of about $4 million for the quarter was slightly below last year. Now, let us turn to digital, which became a reporting segment for us in the second quarter results. This new digital segment includes revenue from our local markets, as well as from national brands such as Newsy WeatherSphere and as of July 22nd our new podcasting business Midroll. Digital revenue for the quarter was nearly $11 million. That's up about 50% from the adjusted combined results for Q3 of 2014. Without Midroll, digital revenue would have been up 25%. Digital expenses were up $1.7 million over the same quarter last year to $14.5 million. That is about 13%. We had guided digital expenses being up in the mid-20% range, but we held employee cost down. The segment loss for digital was $3.6 million. Now I would like to share our fourth quarter guidance. Again, in comparison to our adjusted combined results, we expect television revenue to be down low to mid teens, largely because of the loss of political dollars. Last year, we booked $44 million in political advertising in the fourth quarter. T.V. expenses are expected to increase about 10%, mostly due to higher programming fees. We expect radio revenue to be down mid-single digits and radio expense to be down low to mid-single digits. For the fourth quarter, we expect digital revenue to be up in the mid-30% range and digital expenses to be up nearly 30%. Those results include the impact of acquiring Midroll in late July. We expect expenses for shared services in corporate to be about $11 million. Finally, I would like to cover a few capital allocation matters. We close the quarter with $81 million in cash, down $20 million from the end of the second quarter, mostly because of the Midroll acquisition. Our total debt was $404 million, so that is net debt of $323 million or net leverage of just over two times on a two-year blended basis. We reinstituted our share repurchase program halfway through the second quarter and since then we repurchased about 680,000 shares. We have about $87 million of remaining authorization and remember we paid a dividend of nearly $60 million in the second quarter as part of the Journal transaction that means we return almost $75 million of capital to shareholders so far this year. Now, here's Brian to talk about our broadcast business.
Brian Lawlor: Thanks Tim. Good morning. We reported a third quarter that was about what we expected. Core was down slightly with local flat for the quarter and national down 2.5%. Automotive as you already remember was down 10% in the second quarter, but rebounded in the third quarter finishing flat and we are seeing good momentum so far in the fourth quarter. Our services category was up 5%. In addition, the home improvement category is showing nice growth for us and has now moved into a top-five category. I certainly hope by now you know about one of our big strengths of the Scripps' footprint is our present in presidential elections swing states. We already own stations in Ohio and Michigan, Florida, Colorado, Missouri and Arizona, and that footprint only got stronger with the Journal deal last spring. We added Wisconsin and Nevada, as well as a few counties in Iowa that are part of our Omaha market. We are well-positioned to capture considerable campaign spending next year. Although the election seems far away since we just voted on Tuesday, the presidential primary cycle is already in full swing in Iowa and New Hampshire. Most of the candidates from both sides in their super packs are active in both states. The anomaly right now is that the Republican candidates leaving in the polls Ben Carson and Donald Trump are spending the least. In addition, the lower polls for the remaining Republicans are making it difficult for them to raise more money, so what we should all be rooting for to quickly filling crowd of candidates to start raising and spending money. In addition to the presidential election next year, we have 5 big U.S. Senate races in our markets as well as two governor's races and more than a dozen U.S. House races. As Rich mentioned, one of our best ways to capitalize this political opportunities by growing ratings and Scripps had made this a priority in the coming months. Before I turn to radio, one more thing on the TV division, we begun negotiations on the 3 million households in our markets that are Time Warner and Bright House customers. As we have often discussed those house [ph] are at a very low market rate at the moment because of a deal we made related to former cable networks. As Tim said, these contracts renew as of January 1st, and we expect the new rates as well as a few other key renewals to help us grow to a 50% increase, both our net and gross retransmission revenue in 2016. That would take us from about $145 million this year to about $220 million next year on a gross basis. Such an increase in Retransmission revenue combined with the opportunity for political ad revenue should grow broadcast group in line for the strongest cash flow year we have ever seen. Now, before you hear from Adam, I would like to talk for a minute just about our radio division. Our new country station in Milwaukee, KTI COUNTRY is off to a solid start. There are a lot of COUNTRY fans up there along the Lake. In Milwaukee, we also announced the renewal of our Milwaukee Bucks and NBA play-by-play agreement at WTMJ-AM further solidifying our dominant position as Wisconsin sports station. On that station were home the Green Bay Packers, the Milwaukee Brewers and once again, now the Milwaukee Bucks. Our strategy in radio is to use local talent, promote local events and offer formats of local appeal, which serves both, our audiences and our advertisers as well. It also allows for good synergies in the five markets where our TV and radio stations overlap. Now, here is Adam.
Adam Symson: Thanks Brian. Hello everybody. This is our second full quarter of reporting digital as a segment. Just a reminder, Scripps' digital division is a collection of businesses gathered into one division. Roughly 80% or so percent of the digital division's revenue today comes from our local market related digital products, such as TV station websites and ad sales. The rest of it comes from our national businesses such as Midroll and Newsy. Third quarter total digital revenue was up more than 50% over the third quarter of 2014 on an adjusted combined basis. Our results were buoyed by the contribution of Midroll as well as gains by our strategies in the local digital businesses tied advertising sales, passive and direct from consumer revenue streams. Those include our efforts in programmatic advertising and video syndication. The division expense growth was slower than we projected at Tim mentioned. During the third quarter Scripps' local markets served 376 million page views. These local digital brands served an average of $25 million unique users during the quarter, and we crossed the $1 million mark with monthly active users of our local, mobile and tablet apps up about 12% over last year. Growing monthly active users comes from driving our new audiences to download apps and by getting existing downloaded apps used more often. For more than a year, we placed a big emphasis on growing our video views. That is because of the strong demand we see for the pre-roll advertising inventory and the high rates those ads commend. Our local website and mobile product delivered more than 30 million video views. Speaking of video, now I would like to turn to Newsy. As you know, the over-the-top television marketplace is rapidly evolving. With new platforms and products springing up on a regular basis, we were fortunate to have formed relationships with Roku and then Amazon Fire TV earlier this year and we immediately began to demonstrate how drawn millennials were to Newsy. Roku users, for instance, spend an average of over 27 minutes watching Newsy, an enormous amount of time for on-demand video. That engagement time has grown five minutes over the last few quarters as we have continued to fine-tune our content and delivery style. The success on Roku and Amazon's Fire TD led other emerging OTT providers to seek us out and we have now announced a series of deals in recent weeks with brands that range from Comcast's Watchable to the venture-backed and fast-growing PlutoTV. These distribution deals secure valuable shelf space for Newsy in front of a fast-growing audience. You probably saw our announcement last week that on the very first day it went on sale, Apple TV began to feature Newsy as one of its best new apps. This recognition led to a really nice plug from well-known technology writer Walt Mossberg and gave it high visibility with new Apple TV users. Apple analysts have estimated that the Company will sell more than 20 million Apple TV units next year, so this is amazing exposure for Newsy and early data indicates Newsy is resonating with the young high-end audience. The non-cash write-down was difficult, but we believe Newsy has a bright future in the OTT market. We are just getting started in the OTT space with a lot more work ahead to build that audience and monetize it, but we see over-the-top television as one of those platforms with high organic growth worthy of the Company's focus and investment. Let us turn now to our newest acquisition, Midroll. Since we closed our deal, Midroll has continued to lead the industry, launching high profile news shows, expanding its podcast advertising network and broadening its advertiser base into new categories, all signs this business is headed where we want it to go. As a reminder, Midroll has three areas of its business, podcasts it owns and operates, podcasts it represents in the advertising market and direct from consumer revenue through subscriptions to its Howl Premium podcast app. In order to accelerate growth of its owned and operated network, Midroll has made key hires in Los Angeles and New York then to support Midroll's expansion into some content areas beyond comedy, including journalism, sports, parenting and businesses, categories where we see high audience and advertiser demand. In the non-owned and operated network, Midroll continues to lead the ecosystem with the most and best shows under representation. During third quarter, the business development team acquired podcast that added 1.4 million weekly downloads through the addition of 16 new podcasts and that does not even include the Bill Simmons podcast, which launched last month. Bill Simmons is the former sports commentator who launched ESPN's Grantland. He has an enormous following. Now, Midroll is selling each episode of his new podcast, which re-launched just a few weeks ago and has already garnered a large audience and advertising base. Finally, Midroll launched the Howell happened subscription service in the third quarter to its most loyal audience of comedy events. While it is still very early, we are seeing strong conversion and retention. In the coming months, we will scale up marketing efforts; add additional subscription content and product development. Now, operator, we are ready for questions.
Operator: Certainly. [Operator Instructions] First, we got to line of Marci Ryvicker with Wells Fargo. Please go ahead.
Marci Ryvicker: Thanks. You talked about auto coming back, but in the third quarter, but local was still flat and national down, so what is just dragging your core business. That is the first question. Then secondly, can you talk about Q4 spot in terms of auto and just overall pacing's for local national relative to Q3. Thanks.
Rich Boehne: Good morning, Marci. I will let Brian take the questions.
Brian Lawlor: Good morning, Marci. A couple of things, I think national was obviously disappointing, down 2.5 and it is really dug into - the case with that was we had several markets that performed really well, but as we started to really look at our footprint, something jumped out at us and maybe just a one quarter anomaly both. The northern part of the Midwest, national was very soft. As we look across, as you know we got a really heavy footprint up their national market was minus 10, Indy was minus 10, Cleveland was minus 9, Buffalo was minus 5, Detroit was minus 3, Green Bay minus 4, Lancing minus 8, and I think you know we had other markets that were up and they were up nicely, but for whatever reason our footprint kind of played into the fact that national was affected in that one region. We did not see any other trends as it is really related to national. As you mentioned, in terms of categories auto performed well, services was up 5 as I said, home improvement had a great quarter, up double digits, retailers was minus 1, so really as we look at it, I think the impact of national really had just that northern Midwest footprint and some right there.
Marci Ryvicker: Brian, can I interrupt you for one sec?
Brian Lawlor: Yes.
Marci Ryvicker: That number you gave us is that your numbers or was that overall market numbers?
Brian Lawlor: Those are total market Marci, not ours.
Marci Ryvicker: Okay.
Brian Lawlor: We performed fine in our markets relative to our audits, so those were the total markets of national spending. Okay?
Marci Ryvicker: Okay. Yes.
Brian Lawlor: As we are looking at fourth-quarter, we see auto performing better. In fact, obviously, we got October in the books. All five of our top-five categories showed growth beyond period and even beyond what they had in the third quarter, so obviously we had a fair amount of political in the last fourth quarter, but our pacing looks very strong and our categories and national local look good you know as we look at the first half of fourth quarter.
Marci Ryvicker: I have one more follow-up on digital though. The expenses were lower in the quarter. You talked about employee cost savings, but then you talked about investment, so were the cost savings in Q3 a one-time event? How should we think about going forward for the digital segment?
Rich Boehne: Marci, I think we have given guidance and I think we intend to hit that guidance. I think that the cost savings for third quarter were as a result of some hires we did not make in some of our local markets as well as our national side. We are always managing to the expense line as well as looking at the upside opportunity, so we intend to do the same thing moving forward.
Marci Ryvicker: Thank you.
Operator: Our next question is from Dan Kurnos with Benchmark Company. Please go ahead.
Dan Kurnos: Great. Thanks. Good morning. Marci hit my TV question and along the digital side, so I will take the radio question. Obviously, we have not heard great things from radio outlook going forward. CBS obviously had some pretty negative things to say. It looks like your outlook is getting a little bit sequentially worse just curious how you view the overall health of that business. Then obviously you know the obvious follow-up there is, how you guys are thinking about either acquisitions or alternatively divestitures within radio?
Rich Boehne: Good morning, Dan. It is Rich. I will let Steve Wexler talk about the radio business.
Steve Wexler: Thanks Rich. Hi, Dan. Actually, our fourth quarter guidance, it is certainly in the quarter obviously, but we feel actually fairly positive about where we are. When exclude that the political, we are actually pacing on publicly evolved last year, so our guidance of down mid-singles is solid. We are confident that, but actually the trends for us in our local markets are pretty good. We are also have a very good year in Milwaukee on our Green Bay Packers radio network.
Rich Boehne: Dan, you had a question about acquisitions or divestitures? Yes?
Dan Kurnos: Yes. I was just curious how you guys - there are obviously some more properties have come into the market. Is [ph] decided not to go forward with the radio piece of that with Grey [ph]? Obviously, I know you guys have been speculated with a few other names, so just curious how you are thinking about - if you want roll up the space and leverage Midroll or if you want to keep kind of keep what you have?
Rich Boehne: It is always nice to be speculated about I guess. As you probably know, we have a couple of focuses on the radio side. One is where we also have televisions. That is the strategy that we picked up from Journal and he did a nice job with it and will continue to do that, so if there were opportunities to add a few stations where we already have TV, I think, we think of that, where we already have clusters, but I do not think you should expect us to be one of the new role up players in a second phase for radio. We really like what we have today. Like I said, we might do a little bit of work on the portfolio, but like I said do not work for us to be a big roll up player.
Dan Kurnos: Got it. That is really helpful. Then since you brought up Journal, now that you have kind of worked through some a couple of clean quarters, can you just give us an update maybe overall on how synergies are pacing versus your expectations and maybe whether or not you uncovered some new revenue synergies with as you said some of the cross ownership and in TV radio markets or just how should we should think about that from your perspective?
Rich Boehne: Here is Brian. He can talk about it.
Brian Lawlor: Hey, Dan. Look, I think from cost synergies, I think we are well underway of implementing all of those. A lot of that standardization of some of our processes and technologies that is already done or will be done by the end of the year, so really our focus is twofold, number one, taking the scale and the leverage of our strong news brands and being able to integrate those across many of our new television stations. On the radio and television side, we see that as a great opportunity as Rich just said and we have been working very closely in those markets with bringing the teams together trying to figure out how do we use the digital, the mobile, the social the radio the television assets that we all have in one market to lift all boats, so we had a couple of examples of a significant upside as a result of us working together on the advertising front promotionally and branding. We think we are getting more than we have been, so I think we are really pleased with where we are at and I think this year is going to be a big year and with respect to especially the TV radio markets, I think those synergies will add some significant dollars to the bottom-line. Great. Then just one more for me, I guess, maybe for Adam. Although obviously anyone can chime in. Just can you give us a little bit more granularity on the difference between the economics going the OTT route versus, what was historically more of a direct distribution model? Then just to sort of follow-up on what Marci asked, next year I think we are sort of anticipating kind of breakeven-ish in digital. Could you achieve that sooner given some of the cost savings or audiences you have seen thus far?
Adam Symson: Sure, Dan. I will take the first part of your question. The economics in OTT right now, first of all the space is fairly mature and nascent, but I will tell you that one thing we really like about the space is unlike in mobile web and mobile and web, which is fully democratized and anybody out there could be a player there are barriers to entry in the OTT space, so one of the things we are excited about is the fact that we reach some of those barriers to entry and are working really aggressively right now to own shelf space in front of the fast-growing audience on all of these new platforms, so I think it provides a real rose look years down the line ahead relative to where the audience is going in the OTT space. You will recall the Newsy acquisition, originally most of that business was based on both video products that the business produced for our partners and syndicated as well as news videos that were distributed into web and mobile and that is a mobile a fairly democratized space. There is lots of inventory there, which is not true right now in the OTT space.
Rich Boehne: Dan, it is Rich. I guess you had a question about the segment in 2016, we are not done budgeting. We are actually quite a long way from being done, but if you sort of pull the segment apart and try to spin forward to next year and think of it in the pieces, Adam talked about the local that is the websites and mobile business is associated with the TV stations were 80% of the revenue as that business was essentially cash flow positive prior to the newspapers coming out. It is well on its way to being a net cash producer. We think building those local brands is essential to long-term success in local markets. We could trim some expenses and make it profitable today very quickly, but again we think a little bit more investment there is warranted, but it is well on its way and as Adam said, there is very good revenue growth. Then if you look at the newest piece that we just folded in Midroll, as you know that is profitable today and a contributor and then we talked about Newsy, where we have made the pivot, so when you roll all that together in this quarter, you lost about a little over $3.5 million or we invested about $3.5 million back through the P&L that we think is producing real value today and certainly will in the future. If you looked to next year, obviously, we are putting some money into Newsy, and we think we have an important pivot there, but if your fear is that the results for that segment will change somehow dramatically next year because of over talk about Newsy, I do not think that will be the case, but those are sort of the pieces. I am sorry. Go ahead, Dan.
Dan Kurnos: No. It is okay. It certainly was not a fear, Rich. I actually thought you were ahead of pace and I should have been more clear that I was talking about the non-local businesses, which we know are profitable, so that is good color on your sort of a balance between investments and profitability, which is really what I was getting at, so thanks for that. I appreciate it.
Rich Boehne: In that case, Dan, you are a very smart man. I thank you for that question. Yes, we think we are on - obviously we think we are building a lot of value and our goal is profitability building segment as well.
Dan Kurnos: I appreciate all the color guys. Thanks you very much.
Rich Boehne: Thank you.
Operator: The next question is from Craig Huber with Huber Research. Please go ahead.
Craig Huber: Thank you. A couple housekeeping questions, first, what is the underlying CapEx annualized spend right now for your company?
Rich Boehne: In that $25 million range or so.
Craig Huber: Okay. Then your corporate expense came in lower than expected. What was the reason there please?
Rich Boehne: It really was just sort of a combination of a few things. I think our healthcare costs were a little lower than what we anticipated them to be. That was one of the main reasons.
Craig Huber: It was not like incentive compensation or anything like that?
Rich Boehne: No. It was a variety of items like healthcare costs and sort of normal operating things.
Craig Huber: Okay. Then also can you remind us the annualized synergies for your Company that you were originally expecting to put in place? Then what is that annualized number running at right now?
Rich Boehne: I think we said it was 35 between the two companies and then I think later we said we about split them in half between, so our expense synergies are largely in place or largely in flight. I think, Brian talked about some of the centralization standardization activities, some of that is done and some of that is underway, and there will be some other cost-saving synergies that will come in over time, as we are able to take our programming and replace syndicated programming that is under contract now, but we are off to a great start assimilating these properties and the synergies are right where we thought they would be. [ph]
Craig Huber: Just to ask a question, I assume not much of that was in the third quarter. I am looking on your Page 9 here in the TV division for example employee costs were down 1.3%. Other expenses up almost 7%. On the radio side employee cost up 1.4%, other expenses down 5%, looks - $200,000, where we are we seeing those synergies at. This roughly $17.5 million on annualized basis or is it more to come in the fourth quarter and beyond?
Rich Boehne: Lots of places where they come - one of the things that is happening in here is that you are seeing some increases in programming costs, with the network affiliation agreements that we have done, so that is something that is hitting in the P&L, so in that programming line, we have got network cost and we have also got syndicated to the network seeing an increase, the syndicated has gone down. That is really one of the places that we are seeing kind of an offset to that $17 million numbers that we had talked about.
Craig Huber: I just trying to push back, when I look at the employee lines for both subdivisions and then the other expense lines I am not honestly seeing it here in the third quarter. Maybe it is on the come still, but I am just not seeing these non-programming lines?
Brian Lawlor: Hey, Craig it is Brian. Tim touched on this. obviously the negative variance is the significant boost we had to pay the networks that offsets some of this, but we do have a significant decrease in syndication expense that we have and some of that we have been able to rollout our programming to a couple of the new markets and some of the synergies we are looking for in new costs have been able to come out, employee cost have been able to come out and research and consulting and things like that have been able to come out, so I think the problems is it is just overshadowed by the significant increase in what we are paying to the networks.
Craig Huber: I am sorry to keep you asking this, but do you think these employee costs would have come down more than 1.3% you saw in the third quarter on a pro forma basis?
Rich Boehne: Yes. Craig, one of the things as you look at how those adjusted combined numbers were put together. We had included the synergies in 2014 adjusted combined numbers, so the synergy comparisons that you are not going to be obvious from the '15 versus the 2014 adjusted combined numbers. They are already in there. There is a GAAP to non-GAAP reconciliation in the supplemental materials that we had have provided and you can see those amounts that are in there.
Craig Huber: Okay. That is helpful. Thank you.
Rich Boehne: Great.
Operator: Our next question is from Michael Kupinski with Noble Finance. Please go ahead.
Michael Kupinski: First, congratulations for achieving our numbers. The biggest variance experience in the television side, it looks like it was in the political and I would assume that is Ohio, but I just wanted to make sure that that is where it was coming from or if there was something else?
Brian Lawlor: Hey, Mike. It is Brian. Third quarter was interesting in the political side, we had some good momentum early and then once the Iran deal was done, all that money that was targeting Senators they are really dried up, so we do get some Colorado and Ohio issue money. In Ohio, we had a marijuana vote, but it was not all that significant, so we continue to see a little bit of money of those states around the 2016 Senate races, but there is a little bit off cycle elections stuff with the Kentucky gubernatorial and some other kind of small races, but once the Iran thing was done really that was kind of significant over a bunch of our markets and after that dried up. There was not enough in any particular place to make a difference.
Michael Kupinski: Okay. In terms of the digital revenue outlook, it seems like a little lighter than what I was expecting for the guidance for the fourth quarter. Maybe I had the little seasonality built in there, but it is a deceleration from the rate of growth in the third quarter. I was wondering is that coming from Midroll or is that Newsy or where we are seeing a least slow growth.
Brian Lawlor: Good morning, Mike.
Adam Symson: Good morning, Mike. It is Adam. Well, last year in fourth quarter, we really began to see the uptick and the success with our direct from consumer had certain programmatic strategies, so in essence right now we are really facing tougher comps in the fourth quarter of this year.
Michael Kupinski: In terms of these new platform deals that you guys have done for Newsy, How impact full are those in terms of revenues and I guess improved profitability for Newsy? I mean, I guess, I am just trying to gauge when you guys announced another platform deal, how significant that is to achieving your goals in moving that business forward?
Tim Wesolowski: Sure. Well, obviously, we think that the ecosystem in this space is going to evolve pretty quickly and our job right now is to really focus on trying to get distributed into everyone of these platforms and marketplaces. I guess, I would say right now we are very focused on building that distribution and audience and then we would expect monetization to follow shortly after. Then to your question, profit would follow that. It is tough for me to say, because we are on board for the launch of this, which is a great place to be, but I do not have much other than the same analyst estimates you have to go off on how many Apple TV products we are going to sell or where Roku's growth is going to come from. I will tell you, we are doing on our job. We are getting Newsy distributed onto those platforms and then maybe more importantly, when consumers on those platforms are choosing to watch Newsy, they are sitting with us, they are sticking with us and we are running ads in front of them.
Michael Kupinski: Most of my questions have been answered, but in terms of the spectrum auctions obviously you guys have rethought your participation in spectrum, and I was just wondering I mean there is virtually no way for us to game how much proceeds are going to receive from this spectrum auctions, but I was wondering if there are kind of like a target that the Company would like to see in terms of proceeds from the spectrum auctions whether that is $50 million or $100 million or if there is any thought in terms of what the internal numbers might be and that the company would like to see from potential auctions?
Rich Boehne: Hey, Mike. It is Rich. As we get closer, I think the one thing most important to know is, this is going to be for those who chose to participate whoever that might be, this is going to be a real game in Texas hold them and if they would really not be actually in most anybody's best interest to disclosed is what they expect or what markets or anything else, we have talked quite a bit about how we think the auction is much more than just the monetary event as well. It is going to in many ways restructure the broadcast business in the ways that we think create opportunity for us and others, but everybody is getting real close to the deadline and I think, which you can expect probably unfortunately for you is it is going to be radio silence for most of the companies until it plays out. You want to add anything, Brian?
Brian Lawlor: Yes. Hey, Mike. The one thing, there is so much that is still unknown believe it or not. Even though we are facing a deadline here just I guess four weeks till the window opens for applications, but even when we submit the applications, I think the biggest thing that we will not know at that point is what is the FCC's target of the auction? Is it going to be an 84 megahertz auction or is it going to be 120 megahertz auction or it is going to be somewhere in the middle or whatever. I think even trying to model projected proceeds, even if you could figure out whether you would be successful or not, will look dramatically different based on whether it is an 84 megahertz auction or 120. I think you know for those that are interested in participating, obviously, they are hopeful that it will be a 120 megahertz auction. There will be a lot more auctions purchased and a lot more spectrum purchased and there will be a lot more money in the funnel. If it is an 84 megahertz auction, I do not think there is going to be a lot of money distributed to broadcasters.
Michael Kupinski: Perfect. I appreciate the color. Thanks.
Rich Boehne: Thank you.
Operator: Next will be Tracy Young with Evercore ISI. Please go ahead.
Tracy Young: Hi. Most of my questions have been answered. I just want to see if you have any color from the primaries and if you could give us any sense of where you saw the strength? Thanks.
Rich Boehne: Go ahead, Brian.
Brian Lawlor: Hey, Tracy, it is Brian. We have not yet been able to take advantages of any of the primaries. Our first primary is February 13th, which is Nevada. The good news is, we are starting to see some spending. We also have as you know a couple of counties in Iowa as a result of Omaha, so in those two places we are starting to see the Republicans starting to lay in some money, but we are still a long way away from Nevada on February 13th, so it is certainly our hope that the folks who are in it building their war chest and we will see some super pack money starting to move into those states, but honestly it is little early right now. It seems like most of the focus is Iowa.
Tracy Young: Thanks.
Rich Boehne: Thank you, Tracy.
Operator: Now we will go to Barry Lucas with Gabelli & Company. Please go ahead.
Barry Lucas: Thank you and good morning. Just a couple here and I know you have missed this Brian, but what are you seeing in terms of core growth for 4Q TV advertiser?
Brian Lawlor: Well, we did not say it, so you did not have to. You know the only thing I can say at this point, Barry, is, it is early. We have still got more than half the quarter to go. I did say that we had a really good October. Every one of our categories are top-five categories was up versus prior October it was up, it was how we finished in third, so we still have a lot of business to write really for December and the last couple of weeks in November, but unlike third quarter that started really slow and built, October started well and if it can build from there, it should be a pretty good quarter.
Barry Lucas: Okay. Thanks. You talked a bit about the importance of news rating in a political season, so what have you been doing there and what improvements have you seen in if your own stations of the journals stations?
Brian Lawlor: Yes. Look I think that early on after the close of the journal, we kind of stepped back and looked at. We think that we have six states that are going to be hardly contested in the presidential race Colorado, Florida, those couple counties I mentioned in the Iowa and then Nevada, Ohio and Wisconsin, so we have been very focused on audience growth in those markets. We have been kind of moving resources around and booking up in those places and I think that we are seeing some nice growth. For example Milwaukee, since we acquired the station, I think, our Las Vegas stations has been a real success to this point. I mean our morning rating, since we took out the television station are up over 50%, so that is a state and a market of specific focus for us. We are obviously spending a lot of time and attention in Ohio and Florida, we have got great assets there already, but making sure that they are firing on all cylinders as well as getting Fort Myers, kind of going a little bit. Actually in the last two, three months, we have seen morning and the evening growth in Fort Myers, so the new markets we acquired in those six states, we have been very focus on as well as just kind of reinforcing what we do in our legacy markets to make sure that we put ourselves in the best position to take advantage of all the dollars that are going to come in those markets. I would just tell you very focused effort in those markets on audience growth.
Barry Lucas: Does that include adding new programming in those markets?
Brian Lawlor: Yes. I am hesitating, because we have moved a couple of things around, so maybe the net-net is up a little bit. Obviously, our legacy stations, we already had built out quite a bit of it A year ago and we eliminated Ellen from our syndicated lineup. We added six markets with our newscast or our news programs some-four to five, we have added another one this year and one of our new markets is set to launch in September, so yes I guess and its totality, we have added a fair amount of news.
Barry Lucas: Great. Then for either Richard or Tim, you have got a much seasonally stronger quarter in 4Q and big bulge hopefully in 2016, so maybe you could talk, either one of you, a little bit more about capital allocation does the seasonal pattern and improvements as we look into '16 suggest that an accelerated buyback taking place not in ASR, but accelerated share repurchases, and/or how you may be thinking about dividends going forward and any other color on capital allocation would be great. I would appreciate it?
Rich Boehne: Sure. Barry it is Rich. Probably the most accurate way to portrait as we often say all of the above. Obviously, we think it is prudent to invest a little bit of money first through our P&L in businesses that we think are going to be high growth and create a lot of value and also to improve our current portfolio of businesses and TV and potentially radio. Then on top of those sorts of moves that you have seen us make over the past couple of years, we continue to buy shares. Remembering we buy shares sort of the steady along the way when window is open and we put in plans and try to take in what we can. It has been a little harder to be quick to move. Dividends, we discussed all the time with the Board. We just finished the Board meeting earlier this week and I think at this point we probably still favor investments in businesses that will drive real free cash flow growth and also share repurchase, but we will continue to discuss whether dividends makes sense. Obviously, as you say, we are moving to a year, where we are going to generate an awful lot of cash, so we will be thinking more and more about how is the best way to put that to work heading through that election year. It is not in hand yet. I guess we tend to be a little conservative in a little old fashion. We like to spend it when we have it, but like you say, we could be coming into a pretty good high-class challenge next year, which is having an awful lot of cash.
Barry Lucas: Thanks, Rich.
Operator: We do have a follow-up from Craig Huber. Please go ahead.
Craig Huber: Yes. Hi. On the digital side, I am curious is $11 million of revenue you had there, how much of that was from the TV station or digital properties and what was the percent change there, please?
Brian Lawlor: The TV or the local group was about 25% of the growth over the adjusted combined from the prior year. Then the rest of the growth you saw there over last year would have been the addition of Midroll.
Craig Huber: You are saying 25% of the 51% increase came from the local TV station properties?
Brian Lawlor: TV was up. Television local was up 25% over prior year.
Craig Huber: Okay. How much of the total was that of $11 million? Is it half of what was it please?
Brian Lawlor: About 80% of the digital revenue comes from the local markets.
Craig Huber: Okay. That is helpful. Brian, back on the fourth quarter TV pacing, I am curious you say things are trending better here in part of that might be, because of the caveat effect of political a year ago that would help out October this year versus a year ago. I am curious how is your TV pacing is looking after the first week in November both, local and national, please?
Brian Lawlor: I do not think that something we typically share specifically, Craig, but read into my earlier comments that really good October and it seems to be continuing based on the business that is laid in. Again, there is still a fair amount right through the end of the year, but I think right now structurally the quarter looks healthy.
Craig Huber: You are confident. What you can right now the sub after the first week in November is trending better year-over-year than you had in the third quarter I think your message is. Right?
Brian Lawlor: Yes. I think that is right.
Craig Huber: Okay. Thank you.
Rich Boehne: Thanks, Craig.
Operator: We have question from John Hall with Wells Fargo Securities. Please go ahead.
John Hall: Good morning guys. I just got a couple for radio and then digital, but first for radio, did you say that ex-political you are pacing flat to positive in Q4?
Steve Wexler: Yes. Hi, John. It is Steve Wexler. Yes, I think that is fair. I mean, we are confident in our guidance that Tim have provided, but ex-political I think we are have some outside opportunity.
John Hall: Okay. How much was the political last year in Q4 for radio?
Steve Wexler: Political in fourth quarter was close to 1.
John Hall: I am sorry. Say one more time?
Steve Wexler: Both close to 1.
John Hall: Close to 1, okay. Perfect. Then digging into digital a little bit talking off of Craig's questions, you talk about the breakdown of digital revenue between local and national. Can you provide the same kind of breakdown for profit between the two?
Rich Boehne: Go ahead, Tim.
Tim Wesolowski: Yes. We talked about this. RICH gave a good explanation on this. The local business was a good. It was profitable when we had the newspaper problems in the mix. The Journal transaction give us a lot of opportunities. The near-term impact however on our local digital business was negative. We took out $25 million. I think it was revenue from those markets, replaced it with 9 or 11 some number like that, so we are starting out in a whole. That business is growing and Adam and his team have a plan in place to march that back up to where it needs to be and being a good business again.
John Hall: Okay. That is helpful. Thank you so much.
Rich Boehne: We do not breakout the segment profit for each of those pieces.
John Hall: Okay. Thank you.
Operator: To the presenters, there are no further questions in queue.
Carolyn Micheli: All right. Thank you, John.
Operator: Any closing comments?
Carolyn Micheli: No. That is all. Thank you very much. Everybody have a good day.
Rich Boehne: Thank you.